Operator: Good day, and thank you for standing by. Welcome to the Light & Wonder Fourth Quarter and Full Year 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Rohan Gallagher. You may begin.
Rohan Gallagher: Thank you, operator, and welcome, everyone, to our fourth quarter and full year 2025 earnings conference call. Joining me today in Las Vegas are Matt Wilson, our President and CEO; and Oliver Chow, our CFO. During today's call, we will discuss our fourth quarter and full year results and operating performance, where we will refer to our earnings presentation. This will then be followed by a question-and-answer session. Today's call will contain forward-looking statements that may involve certain risks and uncertainties that could cause actual results to differ materially from those discussed during the call. For information regarding these risks and uncertainties, please refer to our earnings materials relating to this call posted in the Investors section of our website and our filings with the SEC and the ASX. We will also discuss certain non-GAAP financial measures. A description of each non-GAAP measure and a reconciliation of each non-GAAP measure to the most directly comparable GAAP measure can be found in our earnings release and earnings presentation located in the Investors section of our website. With that, I will now turn the call over to Matt to discuss the fourth quarter and full year results and operational highlights on Slide 3. Thank you, Matt.
Matthew Wilson: Thanks, Rohan. Hello, everyone. Thank you all for joining us. 2025 was a pivotal year for Light & Wonder. In May, we completed the acquisition of Grover Charitable Gaming, a highly synergistic and complementary business with meaningful greenfield growth opportunities. At our second Investor Day since rebranding as Light & Wonder, we announced our long-term targets of $2 billion in consolidated AEBITDA and EPSa exceeding $10.55 by 2028. In November, we completed our transition to a sole ASX listing, and early market feedback has been encouraging. Importantly, we also resolved the peer dispute earlier this year, removing any unnecessary distraction and allowing the organization to remain focused on execution. Our results reflect the team's execution and resilience. Despite challenges along the way, we delivered within our previously guided 2025 consolidated AEBITDA and adjusted NPATA target ranges. Over the year, we strengthened our operating foundation and further positioned the business financially for long-term sustainable growth. The quality of earnings continues to improve, supported by consistent net adds in the Gaming operations installed base and $2.2 billion of recurring revenue with margin and cash flow expansion evident throughout the year. Consolidated AEBITDA and adjusted NPATA both grew in the high teens year-over-year, and EPSa increased 27% to $6.69 to close out 2025. We remain committed to advancing our growth initiatives while returning capital to shareholders. During the year, we repurchased $877 million worth of shares and have now completed 78% of our second share repurchase program. In total, we have returned $1.9 billion to shareholders since launching our initial program in 2022. Together, these highlights demonstrate strong performance and reinforce our commitment to continuous improvement across financial and operational metrics. Turning to a high-level overview of our performance on Slide 4. Consolidated revenue growth was driven by Gaming, including the contribution from Grover and record results in iGaming, both in the fourth quarter and for the year. That strength was partially offset by modest declines at SciPlay. Just as important, our continued focus on profitability translated into meaningful AEBITDA growth across all 3 businesses with 29% consolidated AEBITDA growth in the fourth quarter and 16% for the year compared to 2024. Our commitment to the comprehensive margin enhancement initiatives remained intact as we grew consolidated AEBITDA margins 500 basis points in the fourth quarter and full year 2025. The margin uplift across the organization is expected to remain largely sustainable as we continue to identify and execute key efficiency projects and further optimize our corporate cost structure. With a streamlined set of complementary businesses, we are well positioned to generate sustained top and bottom line growth, supported by an efficient R&D engine, which enables us to innovate, scale and leverage capabilities across the enterprise. As many of you may have observed from recent headlines, AI is at the center of debate across many industries, including Gaming. At Light & Wonder, we see AI as a growth enabler, another lever in creating value and helping us achieve our full year '28 financial targets. Through our strategic transformation and track record with margin enhancement initiatives, we have demonstrated the ability to adapt and capitalize on changes, and we believe we can leverage AI to further enhance our existing capabilities. You can see here on Slide 5 that we are well positioned, courtesy of our global scale, which provides us with unique proprietary data sets. By leaning into AI, we can further improve both the quality and quantum of games in a more productive manner and distribute across multiple channels, where we already hold leadership positions. Furthermore, our sizable R&D, customer relationships and incumbency in highly regulated markets is underpinned by a collaborative culture fostered by an aligned Board and leadership team, which will only further strengthen our structural moat. AI presents a significant opportunity for Light & Wonder. In fact, we have embraced this technology and commenced on our AI transformation program to drive both growth and efficiency. We are excited to be taking a leadership role in this arena, and we'll provide further details as our AI journey evolves. With that, let's turn to our business unit highlights. On Slide 7, Gaming revenue was up 17% to $602 million in the quarter, primarily driven by higher gaming operations revenue, which increased 35% year-over-year to $237 million. Drivers included higher North American installs, specifically in the premium segment, and a $41 million contribution from Grover. Growth was fueled by strong launches of our Cosmic Upright and Lightwave cabinets and other key games in hardware as showcased at AGE and G2E last year. Gaming machine sales also delivered a record quarter of $234 million, a 20% increase year-over-year on a record of 7,000 units shipped in North America. International shipments remained solid, supported by a sizable order of our SSBTs in the U.K. as previewed. Our systems and tables businesses both saw timing-related sales declines in the quarter, with systems impacted by higher sales in the prior year and tables on lower utility sales in Asia, partially offset by North American sales. We firmly expect both businesses to return to growth underpinned by targeted near-term investments and commercial strategy. Gaming AEBITDA rose 26% year-over-year to $323 million, driven by record game sales and strong gaming operations revenue growth. AEBITDA margins increased to 54% on a higher mix of gaming operations units and cost efficiencies, reflecting the team's continued execution on quality of earnings enhancements through recurring revenue and streamlined cost structures. Now for an in-depth look at our gaming KPIs on Slide 8. Our North American installed base increased 42% year-over-year to over 48,300 units. Excluding Grover's installed base of over 11,600 units, gaming operations grew over 700 units sequentially and over 2,600 units year-over-year, marking our 22nd consecutive quarter of North American premium installed base increases, which now accounts for over 53% of the total North American installed base. This strong growth was driven by the successful launch of Lightwave and the continued momentum of our Cosmic series cabinets. Average daily revenue per unit in North America increased to $47, up 4% year-over-year, driven by a richer product mix, offset by the inclusion of Grover units. Excluding Grover, our North American installed base revenue per day grew 9% year-over-year, driven primarily by stronger performance in premium and wide-area progressives. In fact, we continue to excel across multiple game categories on the Eilers charts with 11 of the top 25 index new premium leased and WAP games featuring our Huff N' Puff and Ultimate Fire Link titles. This continued momentum is a testament to the quality of our diversified game franchises with demonstrated performance not just in premium, but also in Class II, among others. Global gaming machine sales recorded another strong quarter, up 29% in unit shipments year-over-year to over 12,300 units. Replacement shipments remained strong, and our array of products enabled us to expand our presence in rolling replacement and RFP markets such as the Canadian VLTs as well as entries into the Nebraska skill-based market and Eastern European dynamic multi-game market. We continue to see progress in the latest Eilers report where Huff N' Triple Puff debuted #2 in the New Core Video Real Game Index, while Piggy Bankin' Break In remained at #3 with 3 other Light & Wonder titles in the top 10. We have an expanded and robust global hardware and content road map planned for 2026, as shown on Slide 9, driven by continued investments in our studios. 2025 was an incredible year for gaming operations as we launched the Lightwave cabinet and introduced Cosmic Sky and our stepper Landmark 7000 with Jackpot Wheel, both of which will be available to our customers shortly. Additionally, we are looking to further solidify our game sales market share with Cosmic Dual screen and Lightwave Solar with new game titles such as Jin Chan and Fiesta Caliente. We've also planned for expanded regionalized road maps for our Australia and Asia customers on Slide 10 to support and extend the momentum we've built over the past few years in these markets. Moving along to Slide 11 for an update on our prized acquisition, Grover. Since closing the deal in May, Grover has contributed $102 million of revenue, reinforcing the attractive recurring nature of the charitable gaming model. Operationally, we're seeing strong momentum in the installed base. We've added over 1,000 units since the announcement and exited 2025 with over 11,600 units installed. In the fourth quarter alone, we added 345 units sequentially across our existing operating markets, demonstrating continued demand and solid execution. We also expanded our footprint into Indiana with a successful launch in late December and are in the early stages of a disciplined deployment strategy. Initial installed locations are demonstrating strong performance consistent with our expectations, and we are continuing to see strong demand from qualified charitable partners. We are well positioned operationally to support continued expansion and remain confident in achieving our fair share in Indiana, consistent with our performance in the jurisdictions we currently operate in over the long term. From an integration standpoint, we're actively optimizing game floors by bringing Light & Wonder game mechanics, cabinets and brands into the Grover footprint. At the same time, we're investing to ensure best-in-class service and to build share as we enter new markets, including existing ones like Maryland, where we currently do not operate in, and potential future openings such as New York. Overall, Grover is performing well, scaling quickly and building a meaningful runway for profitable growth that is akin to our core gaming operations business. Turning to Slide 12. SciPlay revenue was $195 million for the quarter, with Quick Hit Slots and 88 Fortunes once again reaching record quarterly revenues, their 16th and 6th, respectively. The strong performance of these and other portfolio games was offset by a decrease in average monthly payers at Jackpot Party. I'd like to share that underlying metrics is becoming more consistent starting in December of 2025 and into the new year with engagement and retention rates returning to normal. This stability gives us confidence to lean back into UA investments, which is vital to sustainable growth. While the revamp of this magnitude takes time, we are confident in a return to prior performance levels. Player monetization remains a key focus and an integral part of the flywheel with average revenue per daily active user up 4% year-over-year to $1.10 and average monthly revenue per paying user increased 14% to over $133 in the quarter. Importantly, we continue to see significant progress in our direct-to-consumer offering, which now has grown to over 25% of the total fourth quarter SciPlay revenue or $48 million, up from just 13% at the end of 2024. We will cultivate the DTC runway as it has been a primary driver of SciPlay's AEBITDA growth, which is up 8% to $80 million year-over-year. SciPlay is an integral part of our omnichannel strategy, and we remain committed to the initiatives that we expect to drive above-market performance going forward. Moving to iGaming on Slide 13. We delivered a third consecutive quarter of record revenue of $94 million, up 21% year-over-year on continued strong momentum in North America, underpinned by first-party content proliferation in the U.S. and the expansion of our partner network. This quarter marked the fourth sequential period of global first-party content GGR growth on our content aggregation platform, OGS, underpinned by solid game performance across the Huff N' Puff franchise in the U.S. and the Pirots franchise in Europe. In fact, 8 out of the top 10 games across our content aggregation network in the quarter were first-party titles with Huff N' Lots of Puff ranking first, Pirots 4 ranking second, and 3 other Huff N' Puff family titles rounding out the top 10. iGaming AEBITDA of $36 million was up 44% year-over-year at record levels, reflecting continued first-party and third-party content growth with margins up 600 basis points versus the prior period. This margin expansion was driven primarily by profit flow-through from increased revenue and cost realignment associated with the discontinuation of our live casino business. Wagers processed through OGS grew 22% year-over-year to $29.2 billion with record volumes across all regions and content types reflecting the platform's global reach and growth potential. In addition to our aforementioned successful game franchises, we have more land-based favorites in our road map, such as Big Hot Flaming Pots Tasty Treasures and Piggy Bankin' Superlock, as you see on Slide 14. Our network scale has enabled games from various studios to reach wider audiences across North America. In fact, Elk Studio is now live in Michigan and New Jersey with Pennsylvania expected to follow. We're also excited about the recent legalization of iGaming in Maine, which is a welcome sight to the industry. With the recently passed bill in the U.K. increasing online gaming taxes to 40%, we expect an adverse impact to the business beginning in the second quarter of this year, given our meaningful presence there. We will continue to explore mitigation initiatives with key operating partners as the industry adapts to the change. International expansion continues to be an opportunity for growth. Just last quarter, we received approval to operate in the Philippines as the first licensed iGaming supplier, and we're excited to share that we are now live. We have a strong presence as a leading land-based slot supplier, and we look forward to launching our popular games in the market soon. Similar to the Philippines, we have now received approval to operate in the UAE with a launch expected later this year. This is another sizable market opportunity we're excited to pursue. Our investments in robust regionalized road maps will continue to support our team's execution in nascent and international markets, further extending our current iGaming market momentum and global presence. With that, I will now hand over to Oliver to go through our financials. Oliver?
Oliver Chow: Thanks, Matt. 2025 marked a year of strong earnings growth across all 3 businesses, driven by continued disciplined execution of our strategic and operational initiatives across all 4 quarters. I'm very proud of our team's accomplishments. Let me walk you through our results, starting with Slide 16. In the fourth quarter of 2025, we delivered consolidated revenue of $891 million, up 12% year-over-year, driven primarily by 17% growth in gaming revenue, including $41 million from Grover, and record iGaming revenue, up 21% year-over-year. Recurring revenue continues to perform well, supporting earnings durability and driving strong incremental margin flow-through. For the full year, consolidated revenue was $3.3 billion, up 4% from 2024. Gaming operations increased by $170 million, driven by $102 million Grover contribution and a $68 million contribution from our diversified game portfolio. iGaming also reported revenue growth of 13% or $38 million compared with the prior year period. Given the recent successful resolution of a peer dispute, the fourth quarter reflects a $128 million settlement, along with other charges of $49 million, which includes $25 million in contingent acquisition consideration fair value adjustment related to Grover, $18 million in costs related to the ASX transition and other costs, totaling $177 million under restructuring and other. As a result, we reported a net loss of $15 million in the quarter. Absent these charges, profitability was strong, driven by consolidated revenue growth and record AEBITDA margins across all businesses. Net income for the year decreased 18% year-over-year, impacted by $219 million of restructuring and other charges described earlier. Absent the previously mentioned settlement, business segment growth was driven by strong execution of operational efficiencies throughout the year. Fourth quarter consolidated AEBITDA grew 29% year-over-year to $405 million, reflecting both top line growth and margin expansion across the portfolio, including contributions from Grover. Our consolidated AEBITDA for the year was $1.44 billion, well within our guided range, reflecting solid operational performance. Adjusted NPATA for the quarter grew 27% to $161 million and adjusted NPATA for the year grew 18% year-over-year to $567 million. Growth was largely driven by an AEBITDA increase with record margin across all businesses. On a per share basis for the year and given our restructuring and other charges described earlier, net income per share on a diluted basis decreased by 11% to $3.26 compared to $3.68 in the prior year period. Adjusted NPATA per share, or EPSa, increased 27% to $6.69 compared to $5.27 in the prior year period. The full year EPSa does not reflect the full impact of significantly higher share repurchases we made in the fourth quarter as the metric is based on an average share calculation. Our outstanding shares as of February 18, 2026, were approximately 77.1 million shares, in line with our year-end position. If you were to take our period ending outstanding share count, our EPSa would have been meaningfully higher and sets us up nicely as we move into 2026. On Slide 17, you'll see our fourth quarter consolidated AEBITDA and adjusted NPATA bridges, which reflect broad-based growth. Gaming AEBITDA increased $66 million year-over-year. Margin expansion for the fourth quarter was primarily driven by strong North American gaming operations installs, higher revenue per day led by the performance of our premium and wide-area progressive units, contributions from Grover, and record North American gaming machine sales. Going forward, we expect continued growth in our premium North American installed base, which we forecast to be over 500 units a quarter this year. Importantly, we anticipate another year of net installed growth in our North American installed base, coupled with the incremental benefit from Grover. I would also like to note that we had substantial domestic and international new openings and expansions as well as VLT units in the first quarter of 2025, which will impact comparability in the coming period. As Matt mentioned earlier, our planned hardware launch in the coming months is expected to drive performance in the second half of the year. Looking ahead, we expect our gaming AEBITDA margin to be around 50% in the first quarter on product mix and tariff impact. SciPlay AEBITDA increased $6 million, primarily supported by increased direct-to-consumer revenue mix of 25% with strategic and targeted UA investments. Going forward in 2026, we expect UA spend to ramp up further increases in DTC mix and stabilization for Jackpot Party as we continue to invest back into the business. iGaming reached new records for revenue and AEBITDA, driven by growth in first-party content and the discontinuation of Live Casino. Based on our road map, we believe there is ample runway to scale this business despite some headwinds related to the U.K. tax changes starting in the second quarter of 2026. Corporate and other improved by $7 million through margin expansion initiatives and cost efficiencies. Looking at adjusted NPATA, we delivered a $90 million year-over-year increase in consolidated AEBITDA driven by strong revenue growth and record margins across every business segment. This improvement was partially offset by several cost and expense dynamics. Depreciation and amortization increased by $8 million year-over-year, reflecting the addition of Grover units and higher success-based capital expenditures within gaming operations. Interest expense increased by $13 million, primarily due to the higher debt levels associated with the Grover acquisition and ongoing share repurchases. These repurchases mitigated uncertainty and volatility during the fourth quarter as we transitioned to our sole ASX listing. Additionally, income tax expense increased by $32 million, primarily resulting from a higher effective tax rate in the fourth quarter of 2025. From a tax perspective, our effective tax rate was approximately 24% in 2025, and is expected to range between 22% and 24% for the coming year. Turning to cash generation on Slide 18. We delivered another strong quarter and year of cash flow, in line with our commitment to our cash enhancement initiatives. Operating cash flow was $319 million in the quarter, up 58% year-over-year. Over the same period, free cash flow increased 138% to $176 million, driven by earnings growth, lower cash tax payments and lower cash interest following our third quarter financing actions. For the full year, operating cash flow was $794 million, an increase of 26% year-over-year, and free cash flow was $452 million, up 42%, reflecting the underlying strength and resilience of our cash-generative model and lower cash taxes. Importantly, cash conversion improved year-over-year progressively. Conversion rate in the quarter nearly doubled on both AEBITDA and NPATA basis to 43% and 109%, respectively. For the year, free cash flow conversion was 31% of consolidated AEBITDA, up from 26% in 2024 and 80% of adjusted NPATA, up from 66% last year. It is important to note that these figures include onetime costs of $18 million in professional services related to the ASX transition and the Grover acquisition and $75 million in litigation settlements. We continue to focus on strengthening the working capital cycles, optimizing inventory levels and maximizing capital expenditures to enhance our quality of earnings and cash conversion over time. Moving on to our capital structure on Slide 19. Our net debt leverage ratio at year-end of 3.4x remained within the targeted range on a combined basis as previously discussed. This was despite the accelerated pace of our share repurchases during Q4 as we transitioned to a sole ASX listing back in November of 2025. Given the strength of our operating model and cash generation, we expect to delever organically through 2026. The principal value of our debt at period end was $5.2 billion. Last month, we successfully repriced our $2.1 billion term loan, reducing the applicable margin by 25 basis points to 2%, which reflects our strong credit profile. This repricing is expected to generate approximately $5 million of annual interest savings. Our debt maturity profile remains long-dated and well laddered with an average tenure of roughly 4.4 years. We also extended bond maturities from 2028 to 2033 at lower rates last year. Our effective net interest rate is approximately 6.65% with a 53% fixed and 47% floating debt mix. We also maintained meaningful flexibility, ending the period with $927 million of available liquidity to support growth initiatives. As previously noted, we will continue to evaluate opportunities to optimize our capital structure as favorable market conditions arise. I will now go through our capital allocation framework on Slide 20, which remains consistent and execution focused across our key priorities. First, we will continue to reinvest in the business in a targeted and efficient manner in line with sales growth consistent with prior years. We continue to target combined R&D and CapEx at around 17% of consolidated revenue, which may vary quarter-to-quarter given timing of investments. That said, you will see ongoing investments weighted toward the first half of the year and the first quarter, in particular, related to Grover ramp and Indiana entry as well as other value initiatives. We aim to retain a flexible balance sheet, which gives us the ability to deploy capital opportunistically under the right circumstances. Over the long run and absent major capital allocation opportunities, we expect to naturally gravitate towards the lower end of the 2.5x to 3.5x leverage range over the long run on our strong operating model and highly cash-generative business. Importantly, we remain focused on capital returns. In the fourth quarter, we stepped up share and CDI repurchases to $500 million and returned $877 million at an average price of $86.80, utilizing 78% of the $1.5 billion authorization in 2025. Looking ahead, we will remain opportunistic regarding the use of buyback with consideration to our capital allocation priorities. Since the initiation of our share repurchase program back in 2022, we have returned $1.9 billion to shareholders. That equates to about 25% of the total outstanding shares prior to the commencement of our broader program. Overall, our framework continues to balance disciplined reinvestment, financial flexibility and shareholder returns anchored by a strong cash-generative model. With that, I'll pass it back to Matt to provide you an update on our 2026 outlook.
Matthew Wilson: Thank you, Oliver. In conclusion, I'd like to provide a summary of the shape and growth trajectory of 2026. You can see here on Slide 22 that we anticipate another year of strong adjusted NPATA and EPSa growth with the shape of earnings to be broadly similar to 2025, reflective of our growing recurring revenue base and industry cyclicality. Importantly, strategic investments, tariff costs in gaming and legacy costs pertaining to legal matters are anticipated in the first half of the year and the first quarter in particular. Operationally, we expect all business units to continue targeting above-market growth with a particular focus on the recurring revenue parts of our business. As mentioned earlier, we expect continued installs across North American premium gaming operations and Grover with continued game sales momentum in North America off a record fourth quarter as well as improved performance in Australia, pending the cabinet launch in the second quarter. On the digital side, SciPlay is expected to continue its DTC expansion and iGaming to further expand its 1PP content. Whilst we continue to be opportunistic regarding share repurchases, from a capital management perspective, we plan to naturally delever our balance sheet over the course of the year. Lastly, we've also guided to some key financial metrics for modeling purposes and provided commentary pertaining to our business verticals in addition to an update on our progress to the various 2028 targets in the appendix. And now we will turn it over to the operator for your questions. Operator?
Operator: [Operator Instructions] Our first question will be coming from the line of Matt Ryan of Barrenjoey.
Matthew Ryan: Appreciate the slide that you've got on Page 5 around artificial intelligence. Obviously, it's been a huge talking point around the sector of late. I was just hoping if you could focus a little bit on the right-hand side and the structural moat that your business has. And maybe you could just talk about how that, I guess, keeps you in good stead around any competitive risk that people might be concerned about at the moment?
Matthew Wilson: Yes. Thanks for your question, Matt. I'll address that directly, and then I've got Victor Blanco, the CTO of Light & Wonder, here to kind of cover off kind of the practical application of what we're doing around AI in the business, clearly a hot topic in the market at the moment. So let me give you L&W's perspective on AI. We see AI as a significant growth enabler for our business. There's probably 2 things to understand about AI at L&W, one through that kind of defensive moat lens and the other through that offensive lens. So I'll step through the moats. We do have strong and durable structural moats around this industry and around our business. We have strong established market positions. We've been building these positions for decades. We're either #1 or #2 in all the markets that we operate in. It's a highly regulated market, the gaming market. We have over 500 licenses in jurisdictions all over the world. These are developed through personal one-to-one relationships with regulators in each of those markets. So it takes time to build that scale into your business. Importantly, we've got scale and incumbency. We spent, just in '25 alone, over $562 million on R&D and CapEx. That's a huge base for us to optimize over time. And we think these AI tools will allow us to do that. If you think about our team's ability to drive these margin enhancement initiatives, a lot of that was outside of the R&D organization, but these AI tools kind of really directly help us optimize that spend. So it's a massive base that we can continue to optimize over time. We've got valuable IP and brands. So I think Huff N' Puff, Ultimate Fire Link, Dancing Drums, Journey to the Planet Moolah, just to name a few of the games that we have in our portfolio. These are the Coca-Colas of the gaming industry. Players love them. They trust them. They want to play the next variation. That's why every next version of Huff N' Puff that we launch ends up on the Eilers charts, players trust these, and they're unique to us, and they can't be leveraged by competitors or start-ups entering the space. I think importantly, we have unique data sets. So we have decades of certified math models on our archive that we use to develop games. We've got the ability to leverage OGS player session data to help inform the way we create games. We've been leveraging AB testing in SciPlay. I think that's one of the factors that's really driven the incremental successes you've seen in our portfolio. And importantly, all of these data sets are within the 4 walls of Light & Wonder. They can't be crawled by an LLM. That's unique to us specifically. I think one of the big things that's overlooked by the market as it relates to gaming is we're not a SaaS company at all. We're really this beautiful intersection between hardware and content. We launch 5 to 7 proprietary cabinets every year. We launched 7 in the last 12 months. And those things are unique and they take time to develop. So you combine that with the signage and merchandising we build, multiply that by the 500 jurisdictions we're in, that's a huge matrix of configurations and complexity that you have to deal with. And when it comes to hardware, that's really supply chains, it's procurement, it's logistics, it's storage, it's deployment, it's servicing those games in the market. This is massive established infrastructure that takes time to build. It cannot be replicated by 2 quants and an LLM in a garage somewhere. These are things that are built over time. So yes, through my perspective, we have massive structural moats around the Gaming business, and that will persist over time, and AI will be a massive opportunity for us. From a growth and productivity standpoint, this is really when we go on the offense around AI, there's kind of really 3 different areas that we're looking to leverage this. It's through technology, so accelerating new platform development, AI architecture, code generation, test automation. There's lots of opportunity with Claude and some of the tools, that Victor will speak to, that will allow us to drive some efficiencies in that space. From a content perspective, it's really nascent targeting, improving our quality and hit rate of games, by really taking a lot of the noncreative elements of the process off the table through the use of AI tools. So there's lots of opportunity there. And then finally, like every business in every industry is leveraging AI to drive business operations and the efficiencies around that. I think importantly to note for investors, we launched an AI transformation program in 2025. We intended to come to market and explain that to our investor base sometime in 2026, but we thought just given a lot of the anxiety in the market today, we wanted to give you a bit of a precursor to that. The Board is aligned around that transformation program, as is the management team, and we see significant opportunities. But I'll hand to Victor to speak about AI in practical terms.
Victor Blanco: Thanks, Matt. I'm happy to share how we're advancing AI here at Light & Wonder from the technology organization. One of our key initiatives that I'm personally driving is our Carbon game development kit. A new development is, September of last year, we made the strategic decision to restart Carbon as a completely AI-led platform development initiative. This means leveraging coding assistance like Claude as our primary development methodology. We did a comprehensive reset of all of our Carbon architecture decisions, we evaluated all the latest technologies, and we looked at our current future business goals. Now building Carbon on this AI-led approach, we've effectively surpassed our prior Carbon development progress. We delivered on a new development language. We have a brand-new game engine and an authoring experience, all done in just over 4 months. Carbon is now delivering 100% game portability across land, social and web, where before we were just sitting at around 70%. So a huge difference. Our first Carbon land-based game is still on track for launch this year, and we've aggressively pulled in our first iGaming Carbon game into '26 as well, just given the confidence of what we're seeing. And now finally, because Carbon was developed entirely through AI-led methodologies, these same tools, the workflows and all the productivity gains that we're seeing in the platform are going to carry forward directly into our studios as they adopt Carbon as their basis for building games. Now with all these benefits that we walked through that we're already seeing in Carbon and many other platforms in our business, there are elements of the game design that we just can't simply replace. The first is our player experience. We know that most of our successful games are built on this intuitive understanding of that player experience. It's built up over decades of observing real player behavior across our market and demographics. While AI is able to analyze this engagement data at scale, we've struggled to figure out how to originate that creative instinct that makes that game experience feel so compelling for our player. This is still a very human-led process. Another AI challenge is creating those creative breakthroughs. AI is great at recombining patterns from existing data, but it's our game designers that are still creating the genuinely novel mechanics. All of our new bonus structures, our unique feature configurations and our progressive systems, these are the hit games that are driving our market share through these breakthrough concepts, not through that kind of pattern recombination. We're still using AI to accelerate the iteration and execution, but it's still our studio heads that are driving that spark that's making successful content. So look, I'm excited the way our games and teams are adopting this technology, and I do believe that AI is going to continue to amplify our process for years to come.
Matthew Wilson: Yes. I mean Victor is right at the tip of the spear of this initiative. So we're excited to cultivate this more and then share more with investors throughout the course of 2026, but I thought it was timely to give you that update. So thanks for the question, Matt.
Operator: Our next question will be coming from the line of Barry Jonas of Truist.
Barry Jonas: There's been a lot of legislative activity we've seen recently in states like Pennsylvania and Missouri, which could involve VLT expansion. Just hopeful you can maybe frame the potential opportunity and likelihood of seeing that VLT expansion.
Matthew Wilson: Yes. Look, we're very encouraged to see the progress here. Unregulated gray markets are a significant problem for our industry. There's tens of thousands of these skill-based games right across the states in the U.S. So it's nice to see that level of activity at the legislature around potential VLT expansion. We're very well positioned. As you know, we're a market leader in Illinois. And so to the extent that those regulations are replicated in either Pennsylvania or Missouri, our whole product suite is set up and ready for deployment. We try not to get ahead of ourselves in these markets. There's a lot of twists and turns when it comes to legislative progress. But it is exciting to see that that's spoken about. I think the AGA has spoken at length about the dearth of gray market skill-based games across the U.S. They're not taxed effectively. They're not regulated. And I think if you look at the Illinois example, regulating and taxing it can lead to great outcomes at a state revenue level. So yes, we're excited for that. We'll be ready to activate it. There's various different suggestions about market sizes. Pennsylvania, I think, is predicted at a 40,000 unit potential market. Missouri, not quite that high, but still both very significant. But we're seeing a lot of activity across the legislative front on multiple dimensions. We heard over the holiday break that New York is legislating charitable gaming. So that's an interesting incremental market for us. There's activity in Maine as it relates to charitable gaming. So positive to see some potential expansion opportunities. I'll just remind you that none of those new market opportunities sit inside our long-term guidance out to 2028. These are all discrete unique opportunities that would be kind of incremental to our plan. So watching it closely, preparing as best we can, but ready to ride the twists and turns as it relates to legislative progress.
Operator: And our next question will be coming from David Fabris of Macquarie.
David Fabris: Can we just focus on the Grover acquisition and just a couple of questions here. I mean, if we think about the growth prospects in your legacy jurisdiction, it looks like you're tracking kind of 300 quarterly net installs based on the 3Q and 4Q trends. Is that something we can extrapolate into '26, excluding Indiana? And then if we think about Indiana, you've started installing machines in the 1Q. So that's post balance date, obviously. Can you give us any insights into how you've been tracking for that near 2 months? And if we're thinking about fee per day as well, it looks like Grover reports about $39 per day. Is Indiana accretive, dilutive or broadly in line with that $39 trend?
Matthew Wilson: Yes. Thanks for the question. We're thrilled about the Grover acquisition going very, very well. I mean, pacing well ahead of our expectations so far. I think one of the exciting things, we saw unit growth across all of our markets in the fourth quarter. So it just shows you the organic growth potential within existing markets. We entered Indiana. The market was regulated on December 30. So not our favorite time to be activating a new market. The team has worked hard over the new year, but really leaned into that. So we're, I'd say, 6 weeks into that market being live. We're going kind of door-to-door, looking at the opportunities. And Grover has always won off the back of great game performance and great service, and that's how we're going to win in Indiana, too. We're not going to chase discounting or deals in that marketplace. We want to win the right way, and that's how the team is kind of focusing themselves. We think over time, we'll get similar share to other existing markets. New markets have opened over the years. There's the initial rollout, then you get the optimization from a game performance and service perspective. So we think over the long term, we'll have similar share in that market to the existing markets. I think your fee per day is around where we are from a Grover contribution standpoint, very similar to a Class 2 type fee per day, which I know you're very familiar with. Yes, we expect Indiana, just given kind of the economic dimensions in that market, to be reasonably consistent with what we see across the board. So I think that's probably the best way to frame up the RPD opportunity in Indiana.
Oliver Chow: Yes. And David, just one other add to that. I think if you remember some of the conversations we've had in previous quarters, at a base kind of run rate perspective, I think 150 to 200 units ongoing is a good starting point from a model perspective. And then yes, you'll start to see incremental adds for Indiana as that ramps up. So I think from a modeling point of view, that's how I would think about that.
Operator: Our next question will be coming from Andre Fromyhr of UBS.
Andre Fromyhr: Just wanted to focus on the ops business. I see in your outlook commentary, you've talked about net installs in the premium space of 500 plus per quarter. And I was wondering if you could put that in perspective of the year ahead versus the year we've just had. 2025 sort of started with Dragon Train removed from your pipeline. So how does the game pipeline compare as you start 2026 and add to that the demand that you've seen for the Lightwave cabinet?
Matthew Wilson: Yes, it's a part of the business that we love. So happy to talk about it. That was the 22nd consecutive quarter of premium gaming operations installed base growth. So it's almost metronomic, the results that Siobhan and Brian Pierce and the whole team are delivering. It's our highest value part of the business. To see that level of growth is very satisfying. We added 700 gaming ops units in the fourth quarter. It was 2,600 year-on-year. So we've guided to a bit more of a modest 500 plus. We want to give you numbers that we can meet and achieve. So I would expect the 500 to be a baseline, and the team will be pushing to capitalize on all the opportunities in front of us. I think the other encouraging thing, it's not just about installed base growth, but we saw RPDs expand 9% year-on-year. So it's that combination of installed base growth, but doing it profitably. That's the best way to grow your business over time is to do it with profitable placements. This is all underpinned by incremental improvements in game performance. So Nathan's leadership over the studios, it's delivered 11 of the top 25 top-performing Eilers games in the new premium segment. That's a mouthful. But that's a real data point that suggests the games that we've been producing over the last kind of 12 to 18 months are getting better and better, and that's really a good forward indicator for future success. So we're thrilled about that. I'd say 3 new hardware catalysts in the portfolio in '26. So the Lightwave rollout. So that's been well received. We've got lots of games coming through on that platform that will optimize and continue to grow over time. We're about to launch Cosmic Sky, which is our kind of new vertical form factor with 3 very exciting games in the portfolio, led by a Huff N' Puff, which we're excited about. And then we've got a new version of our stepper, the L7000 with a Wheel. So as I mentioned in that AI precursor, that combination between great brands and great hardware is a powerful combination. So yes, we think the setup is nice for '26 as it relates to gaming operations. If you look at the Eilers future purchasing intentions, that elevated percentage of the floor that goes to gaming operations is still intact, and we don't see that trend subsiding. So yes, we feel confident in the direction of travel for gaming ops.
Operator: And our next question will be coming from Jeff Stantial of Stifel.
Jeffrey Stantial: Just one from us on the quarter. So another quarter here where margins were better than expected across all 3 of the businesses, similar to what we saw back at Q3. Oliver, you gave us a handful of sort of scattered data points just to help us think about the trajectory here into 2026 by segment. But maybe if we can just to tie it all together, can you help us think about how this sort of all shakes out at the consolidated AEBITDA margin level, and then even better, just given the seasonality with some of these puts and takes, just how to think about sort of quarterly cadence as we progress through the year.
Oliver Chow: Yes. Thanks, Jeff. Great. Great to hear from you. So yes, obviously, we're very pleased with how we closed out the year for the quarter. But really, if you look at it from a full year point of view, it was just an outstanding result from the broader team. If you look at Q4, to your point, it was a 500 basis point increase year-over-year. And you've heard me say this a lot over the last couple of years, which is kind of this margin enhancement kind of mentality just continues to be a key focus for us. So as I kind of unpack this by line of business, I think gaming margins in the quarter was really driven by, Matt said this, the continued scaling of our recurring revenue business. So if you start to look at gaming operations installed base scaling 700 units quarter-over-quarter, you saw a 9% increase in our base RPDs, driving strong performance. On top of that, you now have the inclusion of Grover, which is recurring revenue. So certainly, as our recurring revenue scales over the period, we should expect to see kind of strong margin contributions from that point of view. To your point, there will be some quarters that there will be some mix effects associated with. So if you look at the fourth quarter as an example, you would have seen elevated global game sales in the previous year. So that mix effect will happen quarter-to-quarter. And obviously, we'll continue to kind of manage that kind of broadly speaking. If you think about -- and we flagged this at the Q3 earnings call, if you think about the combined kind of gaming ops, gaming and Grover, the combined margin will likely be in that 50% range. And that, again, based on mix, we'll have tariff impacts coming here that we talked about kind of mid- to high single-digit millions per quarter. That began in the fourth quarter, and that's going to be consistent here even with all the noise that we heard over the last week, 1.5 weeks. And so I think that's a good range for you to start to think about gaming margins as we move into next year. SciPlay, I think the margin expansion was really driven by our DTC growth and really the prudent ROI-driven UA spend that we drove. As you know, kind of Q4 CPIs are generally lower ROIs and CPIs are much higher during the holiday season. So I think as we look into '26, I would expect kind of to maintain these margin levels around kind of 2 core principles, right? One, the steady DTC progress. And then second, if we continue to see opportunity to scale UA, we'll do so. And that's going to really help us drive revenue growth across the portfolio. And then lastly, I think from an iGaming point of view, I think it was a combination of a couple of things. We had some structural and operational levers, but what you saw was a favorable shift towards our first-party content, which obviously is a higher-margin business for us. And that's off the backs of really great franchises like Huff N' Puff. I mean that was a monster game for us in the fourth quarter here in the U.S. and Pirots is just a great global game for us. So looking forward, as Matt mentioned, we'll look to drive kind of 1PP share over time. The one thing to note that we'll keep an eye on is the U.K. tax increases that start in the second quarter. We're going to work very closely with our operator partners to mitigate as much of that as possible, but we'll see how that unfolds here as we head into next quarter. But I think broadly speaking, if you look at it from a quarter-to-quarter basis, it will likely fluctuate a little bit, but this is the efficient kind of baseline of foundation that I would think about our business. And then our goal will be to then drive and enhance that profile as we move forward.
Operator: Our next question will be coming from Justin Barratt of CLSA.
Justin Barratt: My questions are probably more around SciPlay, just the top line result there. I just wanted to try and understand how much of that potentially reflects the issues that you had with Jackpot Party last year and I guess, somewhat of an inability to get some of those customers back. But then conversely, DTC penetration continues to ramp up really, really nicely. You've got the 2028 target of 30%, but you're already at 25% in the fourth quarter. How should we think about your ability to meet that longer-term target and potentially exceed it quite nicely?
Matthew Wilson: Yes, great question. I would think about SciPlay as a portfolio of games. So we've got some very fast-growing games, Quick Hits, 88 Fortunes, Monopoly being the best example. They're kind of industry-leading when it comes to growth rates. But we had a tough year with Jackpot Party in 2025. There's no kind of skirting around that. And it's a game at scale. So when Jackpot Party wobbles, the entire SciPlay top line comes into question. We've had a few false horizons through 2025, where we thought we had fixed the issue, but I don't want to set unrealistic expectations. We are seeing stronger engagement levels through the first couple of months of 2026. And that's what we need to see to allow us to invest behind that game through UA. That's what is going to get us back to those peak levels. So Josh and the team have been working hard to kind of recalibrate the economy in that game. So players in those top tiers are seeing value in the purchasing activity. So we've seen some stabilization there, but I would think about SciPlay more broadly as a portfolio of games, some growing fast, others in turnaround mode, and that's certainly where Jackpot Party is. Yes, the team has done a fantastic job of driving that DTC mix, up from 19% to 25% in the fourth quarter, and carrying that momentum through Q1. Yes, we are pacing well ahead of where we thought we'd be as it relates to that long-term guidance around direct-to-consumer. We set the target of 30% by '28. Yes, I'd say given where we're at, logically, you could see upside to that over time. And we might come back in due course and reframe guidance around that specific number. But a testament to the team working hard. Clearly, they had a few challenging areas in 2025. I say it all the time, we've got a big and complex business. Some parts of our portfolio are fast charging and doing really well. There's others that need addressing and Jackpot Party is one of those, but we've got the right team focused on the right things, and we'll get back to growth with that game in 2026.
Operator: And our next question will be coming from Kai Erman of Jefferies.
Kai Erman: You guys have obviously flagged some margin impacts going into first quarter with some of those costs. But are there any other drivers that might sort of see any sort of quarterly difference in seasonality or earnings cadence throughout FY '26?
Oliver Chow: Yes. Thanks. Great question. And I think just building on some of the comments that I mentioned on the prepared remarks, we will have some legacy costs that we'll work through here in corporate related to legal in the first quarter. I think it really does come down to kind of timing of kind of the broader CapEx cycle. If you look at kind of the overall mix quarter-to-quarter, it will vary in terms of Canada VLT versus the Class 3 kind of replacement cycle, which is a little bit more of a normalized cycle. So I think, by and large, you will see, I think, a fairly similar shape kind of from a '26 perspective relative to '25, and we'll kind of work through the puts and takes by quarter. But those are probably the key elements that we'll work through this year.
Matthew Wilson: I'll say just one thing about investments. We haven't been holding back investments in '25 and then adding costs back into 2026. We're going to spend R&D and CapEx at a similar percentage of revenue that we did in '25 and '24. So we think that's the optimum amount of investment this business requires. You do have to front run some CapEx in markets like Indiana, where you're scaling the installed base. That does take some incremental CapEx. That's just logical, but a very high conviction way for us to invest shareholders' capital. So I would say for the full year '26, think about investments very similar to the way we invested on a percentage basis in '25 and '24.
Operator: And our next question will be coming from Liam Robertson of Jarden.
Liam Robertson: Just one really quickly for me on the outlook to '28. Obviously, those targets have been maintained, which is great. Can you just help us frame up the shape of how you're expecting to deliver that? Obviously, another strong period of margin expansion. I think you've already flagged AI allowing you to further optimize your cost base. I guess how should we be thinking about the contribution from top line versus further operating leverage as you build your bridge out to '28?
Matthew Wilson: Yes. Clearly, we were thrilled to deliver on that long-term guidance. Back in '22, we delivered $913 million in AEBITDA. We guided to $1.4 billion. We delivered $1.44 billion. So yes, we had some different contributions, and twists and turns on that journey, but thrilled to get that chapter behind us. And now we're focused on operating momentum in '26 and getting to '28. We've built a really solid foundation. If you think about gaming operations, we added another 2,600 units year-on-year. So you carry that installed base through into '26 -- saw the fee per day increase year-over-year by 9%, so you carry that momentum into '26. A similar profile with Grover, same with iGaming. So we do expect all businesses to continue to perform ahead of market for their respective categories. That combination of growing installed base and fee per day sets us up really nicely. We see expansion in 1PP. And we talked about SciPlay stabilizing Jackpot Party and kind of building from there. But Oliver, anything you want to add from a contribution perspective?
Oliver Chow: No. I think actually, we've added a new slide in the presentation in the back that kind of refers to kind of a traffic light system that, to Matt's point, all the things that he just listed, all the key drivers will kind of give a view on how we're progressing relative to those targets over the coming years. So I think that's been a consistent cadence of information that we can provide. But to Matt's point, a lot of it is in the core business growth, excluding all the market expansions that we would see, that would be incremental. So that's how I would think about it as we move forward.
Matthew Wilson: Yes. But to reconfirm, strong growth at the AEBITDA line, NPATA and EPSa lines, expect that in 2026 as we get on that trajectory towards 2028.
Operator: Next question will be coming from Rohan Sundram of MST Financial.
Rohan Sundram: Just one from me, for Matt. Just how would you describe the slots demand environment at the moment? It looks buoyant. And how would you compare it to, say, earlier in the year amidst the tariff uncertainty? And how are you assessing the potential tailwinds under the One Big Beautiful Bill, whether it be consumer tax cuts or business tax incentives?
Matthew Wilson: Yes, great question. If you go back to the second quarter last year, Liberation Day, obviously, there was a bit of concern about what is the outlook, I mean, from all of us. Everyone needed to digest what did those tariffs mean for slot demand. We saw that rebound really quickly in the third and fourth quarters. I think the '25 demand was really solid. I think the industry is holding up nicely. We're seeing continued strength in GGR, notwithstanding some softness in kind of those destination markets, but it's made up for more so in those regional markets and then the local high-frequency markets. So I think the best data point is that slot survey Eilers and Fantini put out. It's looking like a similar setup next year to -- sorry, this year to '25, so a similar market size. That's encouraging. I think the other interesting data point in that survey was 17% of respondents said that the One Big Beautiful Bill will increase their replacement rate in '26. So that will be interesting to see how that plays through. We know a few of the large corporates, you probably know the ones are talking about, who are saying they've got a big step-up in their annual spend. There's others that are saying they're going to spend consistent with '25. So all of that to say, it looks like a very buoyant market in '26, which means we just got to focus on how do we capture as much share as possible. I thought, again, that 7,000 units shipped in Q4 was enormous. And I think it speaks to the momentum and potential that we have. So yes, kudos to Siobhan and Brian Pierce, the whole sales team for making that happen, and Nathan for building the game. So yes, all that to say, it looks like the market is set up for another good year in '26.
Operator: And I would now like to turn the conference back to Matt Wilson for closing remarks.
Matthew Wilson: Thank you. Back in 2022, the teams were galvanized by the 2025 targets and transformed Light & Wonder into what it is today, a global games company driven by content and supported by leading platforms. To all of our employees and stakeholders on the journey, I sincerely thank you for all of your support. Thanks for tuning in today.
Operator: And this concludes today's program. Thank you for participating. You may now disconnect.